Operator: Good morning. My name is Devon and I will be your conference operator today. At this time, I would like to welcome everyone to Tennant Company’s 2022 Fourth Quarter and Full Year Earnings Conference Call. This call is being recorded. There will be a Q&A session at the end of the call. [Operator Instructions] Thank you for participating in Tennant Company’s 2022 fourth quarter and full year earnings conference call. Beginning today’s call is Mr. Lorenzo Bassi, Vice President of Finance for Tennant Company. Mr. Bassi, you may begin.
Lorenzo Bassi: Good morning, everyone and welcome to Tennant Company’s fourth quarter and full year 2022 earnings conference call. I am Lorenzo Bassi, Vice President of Finance. Joining me on the call today are Dave Huml, Tennant’s President and CEO; and Fay West, Senior Vice President and CFO. Today, we will provide you with an update on our 2022 fourth quarter and full year performance as well as guidance for 2023. Dave will discuss our operations and enterprise strategy, and Fay will cover our financials. After our prepared remarks, we will open the call to questions. Please note the slide presentation accompanies this conference call and is available on our Investor Relations website at investors.tennantco.com. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company’s expectations of future performance. Such statements are subject to risks and uncertainties, and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today’s news release and the documents we filed with the Securities and Exchange Commission. We encourage you to review those documents, particularly our safe harbor statement, for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude certain items. Our 2022 fourth quarter and full year earnings release includes the comparable GAAP measures and a reconciliation of these non-GAAP measures to our GAAP results. Our earnings release was issued this morning via Business Wire and is also posted on our Investor Relations website at investors.tennantco.com. I will now turn the call over to Dave.
Dave Huml: Thanks, Lorenzo and thanks to everyone joining the call today. I am pleased with the strong performance the team delivered in the final quarter of the year. With revenues of $291 million, Q4 was our highest revenue quarter since the fourth quarter of 2019. Order demand in the fourth quarter of 2022 exceeded the average of the three preceding quarters by over 10%. Demand was especially strong in North America, where orders were 22% higher than the average of the first three quarters. Fourth quarter adjusted EBITDA of nearly $42 million improved significantly over the prior year’s Q4 of $28.4 million. We executed targeted actions and initiatives throughout 2022 to address inflation, parts shortages and labor availability. These actions are starting to yield results and drove our strong performance in Q4. Pricing actions and cost-out initiatives continue to read through and covered inflation on a dollar-for-dollar basis in both Q4 and the full year. Production output increased sequentially from third quarter. And while we are pleased with this increase, production is not yet at the level needed to materially decrease our backlog. The situation is showing signs of stabilizing, but is not yet on a clear path to full recovery. Moving on to our full year 2022 performance. We delivered adjusted EBITDA of $133.7 million on net sales of $1.092 billion, which was within our revised guidance range. Organic net sales grew 4.2%, but results were adversely impacted by foreign currency effects, which decreased net sales by approximately $43 million. Based primarily on strong pricing realization, organic net sales grew in all regions, except APAC, where local COVID-related shutdowns continued to impact demand. Our service business and parts and consumables sales were very resilient in 2022, which provided Tennant with a hedge against equipment production constraints. Despite the positive impacts of cost-out initiatives, prudent cost management and pricing realization, our full year adjusted EBITDA was unfavorably impacted by $12 million due to foreign currency effects. Looking back on 2022, driving short-term improvements was top of mind for our entire organization as we worked to increase production, combat inflation and offset the impact of macroeconomic factors. Throughout 2022, we enhanced many of our supply chain processes, developed new skills and strengthened our supplier relationships. On previous calls, we have discussed various actions and creative solutions our team has employed to secure critical parts and increased production. These actions include working closely with our suppliers to increase predictability, expanding dual sourcing supply options and continuing spot buy activity, designing products that reduce our reliance on constrained parts and supplementing Tier 1 supplier efforts and directly procuring difficult-to-source Tier 2 subcomponent parts. These actions will continue to provide benefits into 2023 and beyond. To combat historically unprecedented inflation, we aggressively managed costs and took meaningful price actions. Our price realization was strong in 2022, which demonstrates the power of our brand and our leadership position in key markets. Our customers’ preference for Tennant products helped to drive record backlog of over $325 million. Going forward, our focus remains on reducing backlog and satisfying customers. We have confidence that we can convert our backlog to revenue over the next 2 years and believe our backlog provides us with a level of insulation from future demand fluctuations. Our fourth quarter performance provides positive momentum as we start 2023. While we face uncertainty about global macroeconomic challenges, we are cautiously optimistic and fully committed to delivering improved results by focusing on the recovery of backlog, launching innovative and new products, driving price realization and providing our customers with world-class service. For full year 2023, we anticipate organic sales growth between 3% and 7% and adjusted EBITDA between $140 million and $160 million. Fay will go through 2023 guidance in more detail later on the call. I will now highlight some of the key initiatives we launched in 2022 that will benefit us going forward as well as support our long-term growth strategy. In an effort to stabilize our supply chain, increase predictability and unlock production, we made several investments in our procurement areas, including expanding our internal resources and partnering with third-party experts that not only help triage current issues, but also improved our internal processes to address supplier constraints. Additionally, we made incremental investments in IT infrastructure that enhanced our material planning. We continue our localization efforts, specifically in EMEA to streamline value chains, further enable dual-sourcing opportunities and reduced transportation challenges. As we have discussed in the past, our first capital allocation priority is to invest in our revenue-generating assets, and we invested over $13 million in our plant operations. These investments include automation to improve assembly productivity, line capacity to increase production output, preparing for recovery and in-sourcing parts for improved availability, cost and quality. Looking at new product launches. In 2022, we accelerated the strategy of leveraging our IPC and Gaomei mid-tier product platforms by introducing Tennant branded versions. These product launches allowed us to fill customer demand, gain share in less intense applications and compete profitably for price-driven customers. We exceeded our 2022 targets for these products and grew overall category margins with this tiered offering strategy in North America. With positive early returns in 2022, we will continue with this strategy in 2023. We also introduced additional Tennant branded extensions of our successful IMOP product, the IMOP Light and IMOP XL. These highly maneuverable compact and handheld scrubbers allow our customers to achieve superior cleaning performance versus Mop and Bucket and other small space cleaning machines. Our full range of IMOP products feature rugged construction to survive daily professional use and offer intuitive, simple operation to enable even new operators to successfully clean. These IMOP products are part of our growing portfolio of small space cleaning solutions that are gaining share in this attractive adjacent market with both new and existing customers. When it comes to our customers, their voice remains paramount in guiding our new product innovation efforts. We have focused our R&D efforts on six innovation vectors, robotics, electrification, data, sensing, customer experience, and core products. Through these vectors, we are not only focusing on solving our customers’ most pressing problems, but also addressing broader market opportunities, ensuring expansion and advancing our sustainability objectives. Let me cover some business highlights in two of these innovation vectors, robotics and electrification. Lack of labor availability, wage inflation and turnover are among our customers’ biggest business challenges. Our AMR robotic cleaning machines reduced customer reliance on human labor, freeing up scarce resources to perform higher-value cleaning tasks. We are continuing to expand our global sales and service capability to reach more customers with a compelling AMR value proposition. With our three product AMR portfolio, we have a viable robotic cleaning solution for customers in each of our core vertical markets. We have generated over $170 million in customer orders since 2019 and deployed over 6,000 AMR units to more than 200 unique customers in more than 20 countries worldwide. Second, electrification, which can simply be defined as replacing internal combustion engine machines with emission-free power, sustainability goals and emissions regulations are driving a need for greener equipment. The work we are doing to electrify our industrial machines aligns with our customer needs as they increase their focus on emissions-free cleaning and seek out a lower cost, more efficient solution. Electrification also contributes to our sustainability goals. Tennant continues to lead through our sustainability and ESG efforts, and we recently received recognition from Newsweek for being one of America’s most responsible companies, our third time receiving this honor. To continue our GHG reduction and climate leadership, we are committing to become net zero by 2040 and have submitted goals to SBTI for approval. Lastly, you are all familiar with our enterprise strategy, which is based on three pillars: to win where we have competitive advantage, reduce complexity and build scalable processes and innovate for profitable growth. Despite all the potential for distraction in 2022, the team remained focused on our enterprise strategy. As it relates to winning where we have a competitive advantage, our work is largely complete, and we’ve instilled new disciplines into how we’re managing the business going forward. We invested significant time in an 80-20 approach to rationalize our portfolio. Since 2020, we have intentionally exited non-core product lines and businesses accounting for more than $50 million in annual revenue. Turning to the second pillar, reduce complexity and build scalable processes. As we have grown our business inorganically, we introduced multiple ERP systems. These 8 disparate systems introduced a level of complexity into our organization as processes are not entirely standardized. This year, we plan on evaluating the benefits, costs and risk of implementing a consolidated ERP globally. We realized that an ERP implementation would be a significant undertaking, but could also unlock significant value. We have not included any costs or capital in the current guidance for 2023 and anticipate that we will have our analysis completed in Q3 and we will update you accordingly. Overall, the implementation of our enterprise strategy is a continuous process particularly with respect to the third pillar, innovate for profitable growth. To supplement our R&D efforts, we recognize that we have the unique opportunity to be even more intentional on inorganic growth. Our IPC and Gaomei acquisitions demonstrated our ability to successfully grow through acquisitions close to our core. In 2023, we will conduct a strategic review to determine the most attractive adjacencies to focus our investments for inorganic growth. Before turning it over to Fay to review 2022 financial results and 2023 guidance, I wanted to acknowledge the resourcefulness and perseverance our team displayed to deliver organic sales growth in 2022. I am very proud of the team’s efforts, and we are well positioned for future success. With that, I will turn the call over to Fay for a discussion of our financials.
Fay West: Thank you, Dave and hello everyone. Fourth quarter GAAP net income was $23.8 million compared to $7.9 million in the prior year period. Adjusted net income was $27.2 million in 2022 compared to $13.5 million in the prior year period. And adjusted EPS for the fourth quarter was $1.46 per diluted share compared to $0.71 per diluted share in the prior year period. The increase year-over-year was primarily due to favorable gross profit and lower income tax expense. Partially offsetting this increase was higher interest expense and the impact of foreign currency. Gross margins improved year-over-year as higher selling prices and an increase in volumes offset inflation headwinds. Income tax expense was lower in the current period due to a non-cash tax benefit on undistributed foreign earnings. Interest expense was higher year-over-year due to rising interest rates and slightly higher debt levels. Our average interest rate, net of hedging for 2022 was 2.93% compared to 2.85% in the prior year. Foreign currency adversely impacted adjusted EPS by $0.14 per diluted share. Full year GAAP net income was $66.3 million compared to $64.9 million in the prior year period. Adjusted net income was $76.5 million in 2022 compared to $83.3 million in the prior year period. Adjusted EPS for the full year was $4.10 per diluted share compared to $4.39 per diluted share in the prior year period. The year-over-year decrease was primarily due to lower gross margins due to the broad effect of inflation on materials, labor and freight costs and higher income tax expense, partially offset by a decline in selling and administrative expense as the company continues to actively manage costs. Foreign currency adversely impacted adjusted EPS by $0.37 per diluted share. For the fourth quarter of 2022, Tennant reported net sales of $291 million, a 5.3% increase compared to the prior year. Comparisons between periods were significantly impacted by foreign currency fluctuations, which drove a 4.4% decrease in net sales. On a constant currency basis, organic sales increased 9.7%. Tenant group its sales into 3 geographies: the Americas, which includes North America and Latin America; EMEA, which includes Europe, the Middle East and Africa; and Asia-Pacific, which includes China, Japan, Australia and other Asian markets. Americas’ net sales increased 16% from the prior year period. The increase was due to the impact of higher selling prices as well as volume increases in the region. EMEA net sales decreased 10% from the prior year period but increased 2.3% on a constant currency basis. Foreign exchange continued to be a significant headwind, resulting in a year-over-year impact of a negative 12.3%, offset by organic sales growth of 2.3%, driven by higher selling prices. APAC net sales decreased 14.2% from the prior year period, primarily driven by organic sales decrease of 7.5%, mainly due to volume declines in China, stemming from the COVID-19 government actions. Foreign exchange continued to be a headwind, resulting in a year-over-year impact of negative 6.7%. We successfully executed several meaningful price increases during 2022 that have favorably impacted net sales. The realization of these price increases was somewhat tempered throughout the year due to our elevated backlog, but we started to see increased contribution in Q4. Geopolitical factors have moderated demand patterns, specifically in EMEA and APAC. Moving to adjusted EBITDA. Adjusted EBITDA for the fourth quarter was $41.7 million or 14.3% of sales compared to $28.4 million or 10.3% of sales in 2021. The increase in adjusted EBITDA was due to higher gross margins, partially offset by foreign exchange translation, which impacted adjusted EBITDA by approximately $4 million. For the 12 months ended 2022, Tennant reported net sales of $1.092 billion, a 0.1% increase compared to the prior year. Comparisons between periods were significantly impacted by foreign currency fluctuation, which drove a 4% decrease in net sales. On a constant currency basis, organic sales increased 4.2%. Organic sales in the Americas increased 7.4% versus the prior year. The increase in the Americas was primarily due to higher selling prices in all categories across the region and volume increases in Latin America. Organic sales grew 2.5% in EMEA, primarily driven by higher selling prices in equipment and parts and consumables across the region, partially offset by volume declines due to supply chain constraints and softening demand in the region. Organic sales declined 11.4% in APAC, primarily due to volume declines in China as government shutdowns related to COVID-19 unfavorably impacted demand. This was partly offset by volume growth in the Australian market. Adjusted EBITDA for the full year was $133.7 million or 12.2% of sales compared to $140.2 million or 12.9% of sales in 2021. The decrease in adjusted EBITDA was due to lower gross margins and unfavorable foreign exchange translation of approximately $12 million, offset by lower S&A, which decreased approximately 5% year-over-year. Turning to cash flow and capital deployment. For full year 2022, net cash used in operating activities was $25.1 million compared to net cash provided by operating activities of $69.4 million in the prior year. The increase in cash used was attributable to investments in inventory required to support an anticipated ramp in production, higher accounts receivables due to increased sales to customers with extended payment terms and the timing of a large volume of sales in the back half of the quarter as well as increased cash payments for employee compensation and benefits and income taxes. The company continues to deploy cash flow toward operational capital needs and to return capital to shareholders in line with its capital allocation priorities. Capital expenditures of $25 million were in line with our overall guidance. Liquidity remains strong at approximately $319 million with a cash balance of $77.4 million and was $242.2 million of unused borrowing capacity on our revolving credit facility. Our net leverage remains within our guided range of 1.67x adjusted EBITDA, which is in the lower range of our stated goal of 1.5x to 2.5x. Turning to guidance. Our full year 2023 guidance reflects what continues to be an uncertain business environment. We believe inflation will persist, though we expect that it will moderate in the latter part of the year. We are closely monitoring inflation and will take additional pricing actions as necessary. We also continue to take cost out actions to help offset inflation and anticipate that carryover from 2022 actions, coupled with additional 2023 projects will contribute to an increase in margins. Labor while largely solved in our plants remains a challenge in our service organization. Although we believe that labor constraints will persist more broadly and specifically for our customers, we view this as an opportunity to drive incremental growth in AMR in 2023. Foreign exchange was a significant headwind for Tennant in 2022. And while it remains largely unpredictable, we believe it will not have a material impact on 2023 results. As we look across our global markets, global GDP has slowed. We expect the Russia-Ukraine conflict to continue to impact the European economy and reflected the impacts on costs accordingly in our 2023 plan. In APAC, China’s economy is expected to grow in the low single digits, and we are optimistic that the reopening of the Chinese market after the elimination of the zero COVID policy will drive incremental demand in 2023. Increasing output is a top priority, and we remain committed to investing in the recovery efforts that are critical to reducing our backlog and returning to competitive lead times. Our fourth quarter performance provides momentum and cautious optimism as we enter 2023, but we anticipate that supply chain issues, specifically parts availability will continue to hamper our efforts to significantly increase output. We anticipate that backlog will decrease in 2023, but will remain at elevated levels as we exit the year. As we work through our backlog, we expect to see accelerated margin recovery in the latter part of 2023. In terms of profitability, we believe price realization, strategic cost reduction initiatives and strong cost control measures will drive adjusted EBITDA improvement throughout the year. We believe this coupled with changes in working capital will drive positive operating cash flow in 2023. For 2023, Tennant provides the following guidance: net sales of $1.115 billion to $1.155 billion, reflecting organic sales growth of 3% to 7%. Full year reported GAAP earnings in the range of $3.10 to $3.90 per diluted share; adjusted EPS of $3.70 to $4.50 per diluted share, which excludes certain non-operational items and amortization expense, adjusted EBITDA of $140 million to $160 million; capital expenditures of $20 million to $25 million and an adjusted effective tax rate of 20% to 25%, which excludes the amortization expense adjustment.
Dave Huml: Thank you, Fay. With that, we will open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Chris Moore with CJS Securities.
Chris Moore: Hi, good morning, guys. Thanks for taking couple of question.
Dave Huml: Good morning, Chris.
Chris Moore: Good morning. Maybe just start with on the production level side. So obviously, it’s not where you need to see. I’m just trying to get a little better sense in terms of how far away are you? How much visibility in getting there? Maybe asked it a different way. Your guidance is 3% to 7% organic growth if there was no supply chain issues, would that be meaningfully higher.
Dave Huml: Thanks for your question, Chris. I’ll try to put some additional dimensions around the plant output embedded in our Q4 and our full year results and then your hypothetical scenario where there is no part shortages is a really interesting one to us. We’d love to operate in that environment. So while we don’t anticipate that being the environment in 2023, we would welcome that would be a welcome change for our business. When you look at our fourth quarter performance from a revenue perspective, much of the result was driven by our price realization as we gain the benefit of previously published price increases reading through into our results. I think what’s hidden underneath the headline and what’s really a reason for us to have some optimism is that we can map some specific increases in production output to specific investments and actions that we took in calendar year 2022 to try to overcome the part shortages. So the fact that we can point at specific actions we took with specific suppliers on specific components and how it read out to an increase in a specific product line in Q4 gives us a cause for optimism, believing that the investments and actions we’ve taken are targeted in the right areas and that we are able to effect change. So it’s a reason for optimism, but we certainly have not pivoted to a full recovery. And so not all of the actions we took in 2022 read out in Q4, nor do they read out as fast or at the magnitude we had hoped for or expected. So some of the benefits of the actions and actions we took investments we made will bleed over and hopefully provide benefit in 2023. From an environmental standpoint, we don’t expect supply chain shortages to quickly rectify themselves from a landscape perspective. We’re taking lots of actions to try to overcome the challenges that we have with our specific suppliers and our specific parts that were challenged, but we’re not expecting nor are we baking into our planning assumption, a significant recovery in the landscape of parts availability. So as I look at the Q4 experience, I’m really proud of the efforts we took in 2022 and the investments we’ve made. We can map some of those actions to providing benefit in Q4. We’re confident that some of those will continue to provide benefit out into 2023. We are far from having a clear line of sight to recovery. And net-net, I would say that Q4 is an important proof point along our path to stabilization. And so first, we need to stabilize before we can drive recovery. You asked – I think embedded your question, Chris, was kind of line of sight, how are we operating from a supply chain visibility perspective. If you go back a quarter ago or two quarters ago, and I think we highlighted this on the call, certainly talked about it in our one-on-ones, we were largely hand to mouth. And so we didn’t have a predictable supply of components from our suppliers. They weren’t delivering to their committed dates or in the quantities that they committed. And so we were hand-to-mouth trying to keep the production lines running. In some cases, on some lines, we are still hand-to-mouth, but that has gone down. The number of lines of our hand to mouth has decreased, and we’ve gained better visibility to the supply of parts that we need for, let’s say, the next month and so rather than being hand to mouth across the majority of our lines. Now we’ve got some visibility across the coming months and are reasonable confident we will receive the parts as they were committed from our suppliers. And I think the other thing we see is more predictability, better predictability from our supply base, where in the past, middle 2022, we were dealing with suppliers have committed and then didn’t deliver on time or in the quantity we expected. We’re still seeing some impredictability but it seems to be improving from a predictability standpoint. Again, not getting all the parts we need as fast as we like, but becoming more predictable. That’s why I would characterize this more as stability than kind of a trajectory of recovery yet. When you think about recovery from – purely from a supply chain perspective, we think that it will be – continue to be choppy. We think that while we can take actions to overcome some of the challenges and have positive impacts, we are still seeing ad hoc disruptions caused by suppliers with whatever the cause is, whether they have a lack of labor or they have challenges upstream. We are still seeing sort of ad hoc challenges we are having to manage an elevated number of suppliers to make sure that they can meet our requirements. So net-net, I would say we’re stabilizing, and we expect to be on a path to recovery, but we don’t line of sight to it yet.
Chris Moore: Got it. Extremely helpful. Thank you for that. So it looks like you guys have done a really good job kind of managing S&A while things have been kind of up and down. It feels like I’m just wondering if this level might necessarily be sustainable moving forward. I mean I think it was 28% of revenue in 2022. That’s quite a bit lower than where you had been a couple of years back. Just wondering from an S&A standpoint, moving forward, are there some costs that could come back in there in ‘23 or just kind of how you’re looking at it?
Fay West: So the way that I would characterize it is we are challenging ourselves daily on how to best operate the company, including managing our cost on the S&A line. And we saw significant improvement year-over-year. In our anticipated 2023 guidance, we’ve corrected for a certain number of things like travel, which is opening up or the reversion back to certain kind of compensation and other areas. But in general, our goal is to manage our S&A appropriately and to manage it to a percentage of sales. And I think what we achieved in the realm of achievement in 2023.
Dave Huml: Chris, I would just add, I think we’ve demonstrated over time and certainly in 2022 that we can manage S&A accordingly to how the business is performing. We took decisive actions throughout the year to deliver the results that we were able to and some of those around the S&A side. I will tell you coming through Q4 and into 2023, we are going to be very cautious with our S&A spend to make sure that we don’t get ahead of ourselves before the business is signaling that we can afford the incremental investments.
Chris Moore: God it. And maybe just last one for me. Cash flow from operations, $25 million you went through the big drivers, receivables, inventory, some other things. Just big picture, kind of how are you looking at ‘23 versus ‘22?
Fay West: Yes, I think you’re going to see a reversion back to normal in 2023. I think we had some significant investments in working capital, primarily around inventory. And we anticipate that, that will revise that usage will revise in 2023. And so you’ll see a glide path down. as we go through 2023. So we think we will go back to normal. So certainly, the improved performance from an operations perspective will drop through to operating cash flow as will kind of more normalized working capital activity.
Dave Huml: Chris, it’s probably worth noting in 2022. These were really intentional investments that we made on the inventory side, given the situation we’re operating. And if you look at the year – the increase in exit inventory from Q4 ‘21 to Q4 ‘22 and just look at the components, what drove the increase, about third of it is inflation. About third of it is intentional investments either in constrained parts inventory or with and about third of it is supporting new product launches like lithium-ion batteries and our IMOP product we talked about on the on the call, as well as we allowed an increase in our service truck inventory to support our customers and keep their machines running up to the service levels that we committed to them. So I make the point because it’s important to dimensionalize the impact on cash flow in 2022 was intentional on our part given the environment we had to operate in.
Chris Moore: Got it. I appreciate it. I’ll get back in line. Thanks, guys.
Dave Huml: Thanks, Chris.
Operator: Our next question comes from Steve Ferazani with Sidoti.
Steve Ferazani: Good morning, Dave. Thanks for all the detail on the call. I did want to follow-up the last question in terms of if we have that glide path to more of a normalized working capital, it looks like the additional debt you took on through the year was to meet the working capital needs. I’m just trying to think about what you’re expecting on the debt side. And then in your guidance, what’s the interest expense?
Fay West: Yes. And so yes, you’re absolutely right. I think those investments in working capital were financed with our revolver. We are always looking at how we manage our leverage. Certainly, at the midpoint of our guidance next year, we don’t have to meaningfully reduce our leverage to get to 1.5x or below. And we do have some amortization on our term loan that we have to pay. But with any excess cash, we could potentially pay down debt further if we need to. And so I would say that in 2023, you saw kind of the increase in interest costs as we went through the year based on the increase in underlying rate on an average basis for 2023, net of hedging activities because we took some decisive actions in the fourth quarter to fix a portion of our floating rate debt, about $120 million or 40% of our debt to fix that out. But what we saw from an average rate in 2022 was about just shy of 3%. But that was increasing throughout the quarters. And in the fourth quarter, it was just shy of 5%. I would say that if you look at fourth quarter interest expense, that would be a good proxy for 2023. And just based on kind of how we’ve hedged and fixed out a portion of the debt. Our guidance does assume a moderate increase in the underlying rate. Now if it does something different than that, we will go back to you.
Steve Ferazani: Okay, that’s helpful. Thank you. I do want to get back to the sales guidance, the 3% to 7%. I’m trying to think about how much of that is pricing – do you have a mix there?
Fay West: Yes. I think if you just and Dave, I’ll start and you could just jump on. I think if you look at just our midpoint of our guidance range, it’s about a 5% year-over-year increase in organic sales. And the way to characterize that is about 20% of that we think is coming from volume and about 80% of that is coming from price.
Steve Ferazani: Perfect. So what obviously, the expectation was we would see the gross margin pick up here in the fourth quarter. So you fully realize some of these price increases. But as you noted, there is still some older priced backlog, which you’re working through. Do you have any sense what that margin might have looked like without the older priced backlog and how you’re thinking about margins? Because you’re getting – you’re really starting to make that move back to more historical levels. I’m just trying to see how you get there given the fact that you have almost a quarter of backlog still built in there or more.
Dave Huml: Yes. We didn’t model the quarter on the margin impact from incoming orders versus backlog. We just didn’t model it. Obviously, the more a backlog is sitting prior to one, two or three price increases and so on. But the fact that we’re not working backlog in a fight all manner makes it really difficult to track what the impact was versus would have otherwise been. I have to say we’re encouraged by that we’re still getting strong price realization. So we’re encouraged by that. We’ve got our price increases largely published. – few spots in the world are still yet to publish, but major geographies we published. And we’re getting good stick rate, good realization. So it’s really credit to our selling organizations around the globe as they are doing a fantastic job selling in multiple significant price increases over the year and making sure that we get paid back for the value we’re delivering and also the inflation that we’re feeling in the business. Fay mentioned, we’re counting on about our growth for 2023 is roughly 80-20 between price and volume. It will be interesting, and we’re monitoring closely not only order demand patterns, but also price realization as inflation moderates and our planning assumption is that largely speaking, inflation will moderate and so we’re monitoring whether our realization sticks at the same rate that we’ve been able to achieve kind of coming through 2022. But our guidance does imply some expansion of our gross margins. We don’t guide on gross margins obviously, it’s embedded in our guidance.
Lorenzo Bassi: Maybe building on what Dave said, if you look, Steve, at the over – broadly over the course of ‘22, while we occurred inflation with our price realization from a margin standpoint on a full year basis, it was actually diluted from a rate standpoint. However, if you look at Q4, you start to see more of those price adjustments to significantly cover inflation largely for margin at 39.6% was over the average by about more than 100 basis points over the average over the first three quarters. So that can kind of give you an indication of how we’re going into 2023.
Steve Ferazani: Great. Perfect. Thank you. Last one for me, if I could squeeze it in. Just your thoughts on China, obviously, the expectation is we will see more of a reopening as this year moves on? And how much that can impact here? Are you seeing anything yet?
Dave Huml: Yes. We’re watching it closely. We were off dramatically in 2022 in China from a demand perspective. Obviously, the news that the government decided to lift the COVID restrictions as well as the requirements for testing and allow freedom of movement around the country was welcome news to us as we look at our business in China. Really, the restrictions were lifted and then the country went on holiday. And so while we talk to our team and our channel partners as well as customers, there is some optimism about the reopening of the market I would say we’re all waiting to see it materialize into orders. And it’s just too early to tell whether the promise of an opening and an increase in our business will fully be realized. The other thing we’re looking at we’re really positioning ourselves to be ready to satisfy the demand if it when it comes. So from a plant staffing perspective, from a parts availability perspective, we’re staying close to our channel partners and our customers so that we’re ready to react as the demand materializes.
Steve Ferazani: Great. Thanks everyone.
Dave Huml: Thanks, Steve.
Operator: Our final question comes from Tim Moore with EF Hutton.
Tim Moore: Thanks, and nice job with the 10% organic sales growth in the quarter and the sequential improvement from the September quarter on that front. Just getting back to your 2023 guidance, just regarding the higher end of the range, what factor or two factors might be the main swing factors to achieve more at the high end of the range? Is it really the supply chain or does it also depend on something else like more AMR orders?
Dave Huml: Yes. Listen, we have upside in our new products. There is no question, specifically AMR. But if you think about the big lever that could – is a big thing that could be a change from our planning assumption and allow us to achieve the high end of the revenue range, it would be a loosening in supply chain so that we could get the parts and react and fill the – not only incoming orders, but meaningfully reduce our backlog. We’re working hard. We talk a lot about the actions we took in 2022 to position ourselves to overcome some of the most persistent challenges. And while some of them started to read out in 2022, some of them have not yet begun to read out. And so we really need that improvement in the environment as well as full traction from the actions and investments we took in 2022 to deliver at the high end of the range. And that’s the reason for such a broad range on the revenue line really is where we’re taking actions, controlling what we can control, but much of that supply chain recovery is out of our hands.
Tim Moore: That’s helpful. And I know you’ve already elaborated and mentioned about the component shortages, and you’ve been very good about giving detail on that every quarter. I guess I’m just wondering, have you seen a good improvement in the last few months on specifically on your dual sourcing and your direct procuring for some difficult to source components. Is that much better than it was maybe in September, October?
Dave Huml: Yes. It’s really a mixed bag. We talked a lot about on prior calls about circuit boards and electronic components that go into circuit boards. We made a number of targeted investments and took some targeted actions. And some of those actions did read out and contribute to our Q4 performance. On the other hand, we made investments and actions on other constrained components and didn’t see the benefit in the quarter, although we’re still confident that over time, over time, those will build will read out and provide benefit. So it’s kind of a mixed bag from our vantage point, and we’re mapping the improvement that we’re seeing, we’re mapping more to the actions and investments we’ve taken that any kind of a broader recovery in supply chain.
Tim Moore: Great. You mentioned earlier I’m just trying to think about some of the innovation drivers for 2023. You mentioned earlier you took the mid-tier products for IPC and even Gaomei under the Tennant brand, do the IPC extensions recently. Is there anything else for small space cleaning or anything else such as, I don’t know, Equipment as a Service being rolled out into more countries for 2023?
Dave Huml: Yes. We’re really excited about our small space offerings, not only the IMOP products we highlighted in the script, but also we’ve got another product CS5, which we launched, which is a fantastic compact cleaning machine allows us to further penetrate that small space cleaning – we’re excited about the upside in AMR, we continue to be excited about the upside in AMR from our three product portfolio and the fact that we can address customers across virtually all of our vertical markets and increasingly on a global basis, so excited about the upside that we can realize from AMR. And you mentioned the rebranding of our IPC and Gaomei branded products into the Tennant brand. That’s a really interesting proposition. It was not the original intent when we made the acquisitions. It was a secondary benefit that we would harvest over time. And given the situation we found ourselves in from a supply chain perspective, it makes sense to accelerate that strategy. And we’re really pleased with how successfully we’ve positioned those products at a compelling price point in the marketplace where it’s not dilutive to the Tennant brand or dilutive to margins. And I think a large part of the value proposition is that we can take a product that’s designed to a different performance spec, wrap the entire Tennant ecosystem support around it and sell a mixed fleet to our customers. And so customers in North America are familiar with the Tennant brands. They rely on us for our service and aftermarket support. Now they can buy a product in the Tennant brand that they know and trust with the ecosystem of support they expect at a price point that is warranted for the application and provides them a fantastic alternative. So really excited about the early returns on that strategy and expect to continue to accelerate with that strategy in North America in 2023 and beyond.
Tim Moore: That’s very helpful to hear. My last question is about have you seen any order cancellations over the past few months or customers starting to maybe downgrade to some of the lower tier price models. And then if you can maybe elaborate also on Equipment as a Service. I know you were doing that in some countries. And do you think you’ll continue rolling that out assertively this year?
Dave Huml: Yes. So on this topic of order – and I apologize, you brought up Equipment as a Service in the prior question. From an order cancellation perspective, we have not seen any material order cancellations. It’s kind of the rare exception. I attribute that to the fact that we’re booking orders and the customer has full knowledge of our lead times. So they are fully aware of how long they are going to have to wait to get the product. So it’s not like it’s a fade-in switch situation where they believe one thing and then they are surprised. So we’re seeing very few cancellations. I’m sure there is some percentage of our order bookings that are buy ahead of price increases as well as trying to get in queue for future demand. Time will tell how much of that is kind of pull forward in demand versus real in-period demand. But I’m sure that dynamic exists. From a sell-down perspective, there are some instances where we just couldn’t get a Tennant branded product in the lead time the customer needed. And so luckily, we had the IPC or the Gaomei branded mid-tier products to slot in and satisfy the customer. I would say that was again, that was an exception rather than a rule. So we haven’t seen the market sort of trading down because of economic pressure or inflation pressure on their business. We’ve largely seen it hold is a mix that we would expect from a Tennant brand versus kind of other branded products in our portfolio. And Equipment as a Service is a really compelling value proposition for some customers – we’ve been very successful with it in specific targeted geographies. And It provides a lower entry point, for example, for a building service contractor and they can link their operating expense to the cleaning contract revenue and be more in control of their profitability by assigning not only the title of the asset, but also the responsibility for keeping it running from a service perspective over to Tennants. We’re learning a lot in those geographies about which customers find it most compelling as a business model or as a value proposition. And then as importantly, because the burden, the risk shifts to us to make sure that, that’s a profitable venture, we’re learning a lot about how to set ourselves up from a service perspective and an aftermarket support perspective to make sure that, that’s a very compelling proposition for us from a profitability perspective. So I would say we’re learning a lot. We’re modeling to make sure that we’re very pleased with not only the market share gain, but also the profitability profile. And we’re optimistic. I think Equipment as a Service in some targeted applications, targeted geographies that could make a lot of sense both for Tennant and for our customers.
Tim Moore: Great. Thanks for that color and detail, and that’s it for my questions.
Dave Huml: Thanks, Tim.
Operator: There are no further questions at this time. I would now like to turn the call back over to management for closing remarks.
Dave Huml: Thank you all for your participation today, and thank you for your continued interest in Tennant Company. This concludes our earnings call. Have a great day.